Daniel Baker: Good afternoon and welcome to our conference call for the quarter and fiscal year ended March 31, 2021. This is Dan Baker, President and CEO of NVE Corporation. As always, I'm joined by Curt Reynders, our Chief Financial Officer. This call is being webcast live and being recorded. A replay will be available through our website, NVE.com. After my opening comments, Curt will present a financial review of the quarter and fiscal year, I'll cover the business and new products, and then we'll open the call to questions. We issued our press release with fourth quarter and fiscal year results and filed our annual report on form 10-K in the past hour, following the close of market. We also filed with our 10-K an extension to our supplier partnering agreement with Abbott Laboratories. Links to these documents are available through the SEC's website, our website, and our Twitter time line. Comments we may make that relate to future plans, events, financial results, or performance are forward-looking statements that are subject to certain risks and uncertainties, including among others, such factors as risks and uncertainties related to future sales and revenue, uncertainties related to future stock repurchases and dividend payments, and risks related to the COVID-19 pandemic, as well as the risk factors listed from time to time and our filings with the SEC, including our just filed 10-K. Actual results could differ materially from the information provided, and we undertake no obligation to update forward looking statements we may make. We're pleased to report strong earnings for the fourth quarter and fiscal year, despite the effects of the COVID-19 pandemic. For the quarter, we reported earnings of $0.65 per share versus $0.69 in a strong year-ago quarter. With the effects of COVID-19 the past year, earnings decreased to $2.42 for the fiscal year compared to $3 for the prior year. Now Curt will review the details of our financial results. Curt.
Curt Reynders: Thanks, Dan. Total revenue for the quarter ended March 31, 2021, decreased 5% compared to last year due to a 5% decrease in product sales and the 7% decrease in contract R&D revenue. The COVID-19 pandemic had a significant impact on revenue the past quarter. We believe those effects began to subside, although significant uncertainty remains. Expenses decreased 18% for the fourth quarter, from the prior year, due primarily to a 23% decrease in R&D. The decrease in R&D expense was due to the completion of some new product developments. Interest income decreased to $332,000 for the most recent quarter, from $428,000 in the prior year quarter due to decreases in our available for-sale securities and the decrease in the average interest rates on those securities.  Net income for the quarter was $3.13 million or $0.65 per diluted share compared to $3.37 million or $0.69 last year. Gross margin was 78% for the quarter and net margin was 53%. We paid $1 per share dividend in the past quarter, and today we announced that our board declared another quarterly dividend of $1 per share, payable May 31, to shareholders of record as of May 17. For the fiscal year, total revenue decreased 16% due to a 16% decrease in product sales and an 18% decrease in contract R&D. The COVID-19 pandemic had a significant impact on revenue the past fiscal year, especially in the first 2 quarters of the fiscal year. Net income for the year decreased 19% to $11.7 million or $2.42 per share compared to $14.5 million or $3 per share last fiscal year. We also had an unrealized gain of $585,000 on our marketable securities for the fiscal year, resulting in comprehensive income of $12.3 million. We paid $19.3 million in dividends and repurchased $91,000 of stock in the past year. Even with those generous returns to our shareholders, our balance sheet remains strong with cash plus marketable securities of $65.1 million as of March 31. Now I'll turn the call back to Dan to cover the business. Dan.
Daniel Baker: Thanks, Curt. I'll cover highlights of the past quarter and fiscal 2021. It's been a year since we first talked about the impact of COVID-19. I was in our May 6, 2020 conference call. There's now a light at the end of the tunnel, at least for the direct effects. I want to thank our suppliers, distributors, and our employees for keeping in the operating effectively the past year. Tough times show what we're made of, and we've seen the dedication and resourcefulness of NVE employees and the tenacity of our managers and leaders.  Our employees have been eligible for vaccination as essential manufacturing workers since mid-March, and vaccines have been available to all Minnesotans over 16, since late-March. The great majority of our employees worked on-site through the pandemic, despite the personal risk. Other highlights of the past quarter. We're proud to supply products to some of the world's most demanding customers, including Abbott's Pacesetter subsidiary. Abbott as a leading implantable medical device supplier. Last week, we extended our supplier partnering agreement with Abbott until November to give us time to negotiate a long-term amendment.  We've extended our partnering agreements with Abbott and St. Jude Medical a number of times dating back to 2006, and we're allowing more time because there are new people involved since Abbott's purchase of St. Jude in 2017. The latest amendment was filed, as I mentioned, with our 10-K. Another validation of our products' extraordinary ruggedness and reliability is our selection as a supplier for the Europa Clipper's mission to one of Jupiter's moons to explore the possibility of extraterrestrial life. In the past quarter, NASA completed its critical design review for the spacecraft. NASA pointed out that the spacecraft must be hardy enough to withstand the radiation in space, yet sensitive enough to gather the science needed to investigate Europa's environment. Our parts qualified for this demanding mission, which demonstrates their extraordinary properties.  We delivered our parts for the Europa mission in 2019 but continue to work with NASA on other missions and to leverage our experience for other demanding applications. NASA recently defined the launch vehicle path and is planning an October 2024 launch that would arrive at Jupiter in April 2030. It will take longer than the other previous scenarios, but at least now there are definitive scheduled targets.  Turning to product development, one of the areas where we have been continuously improving our sensors is Noise performance. Low noise sensors can detect smaller magnetic field changes, which means more accurate sensing or electronic for current sensing or electronic compasses for example. In the past quarter, members of our advanced technology team published a peer reviewed paper in the journal of applied physics letters, titled Magnetoresistive Sensor Detectivity, a comparative analysis detailing the noise performance of our various types of sensors.  If you're a subscription to applied physics letters has lapsed, you can access the article from the papers and presentation section of our website. We introduced 2 groups of new products in the past quarter, DC to DC Converters and Tunneling Magnetoresistance Sensors. First, we expanded our line of DC to DC Converters with the addition of larger parts and combination converters with data couplers. DC to DC Converters transmit power rather than data. We make the world's smallest isolated DC to DC converters at less than a quarter by an eighth of an inch. In the past quarter, we introduced larger isolated DC to DC converters. There are still pretty small, less than 0.5 inch square, but the larger size allows us to provide best in class 5,000 volts isolation, which is remarkable for a part that size. Higher isolation means better reliability. In addition to the new standalone DC to DC converters in the past quarter, we introduced 3 models that combine 5,000 volt isolation, DC to DC converters with data couplers, to simultaneously transfer data and power in less space and with fewer chips. These DC to DC converter introductions are designed for industrial automation and the industrial internet of things.  In addition to DC to DC converters in the past quarter, we introduced High Sensitivity Tunneling Magnetoresistance or TMR magnetic switches. These parts were on 3 to 4 volts, which makes the new parts ideal for rechargeable devices, such as over the counter hearing aids and smart audio devices. There are links to information on our new products on our website, including demonstrations in the video section of our website. There are also links to information on our YouTube channel, Twitter time line and LinkedIn posts. In addition to the new products in the past quarter, new and improved products in the past fiscal year included High Field Magnetic Sensors and switches for MRI tolerant medical devices, Ultra Precise Tunneling Magnetoresistance Motion Sensors for robotics and factory automation. The world's smallest DC to DC converters to transmit power as well as data and industrial networks and cars.  New smart sensors for more versatility and conductivity and improved couplers with best-in-class Common Mode Transient Immunity or CMTI for more power efficient country cool. Turning to sales and marketing, a COVID-19 wave beginning the past quarter in Europe caused restrictions and the cancellation of most in-person trade shows. But despite the pandemic, we have opportunities to promote our new products. Sensor plus test is an important industry trade show. It's gone digital and is going on this week. It's billed as the industry's largest event dedicated to sensors, connectivity and systems. It's normally held in Germany and we're participating as a co-exhibitor with Angst+Pfister formerly known as Pewatron, one of our European distributors. The exhibition runs through tomorrow, May 6. We have several new products at the virtual booth and we're planning webinars after the exhibition. Last week was a major industry research conference, the IEEE International Magnetics Conference or Intermag for short, originally scheduled to be held in Lyon, France. The conference was changed to virtual due to the pandemic. Five of our researchers authored a paper titled Magnetic Viscosity in High Precision Magnetoresistive Field Sensors at the conference. Overcoming magnetic viscosity to improve accuracy and precision is an example of our leadership in sensor technology. Dr. Joe Davies, a senior physicist and program manager was also the sensor expert on a panel of experts at that conference.  Although we're taking advantage of virtual events, we look forward to the return of in-person exhibits. Sensors expo builders is North America's largest event dedicated to sensors, conductivity, and the internet of things was scheduled for June in San Jose. It's been postponed delayed September due to COVID-19 restrictions in California, but we still plan to exhibit and our folks are champing at the bit to get in front of customers again.  We last attended sensor's expo 2 years ago and promoted our then new Smart Angle Sensors with a smart sensor-based robotic xylophone playing "Do you know the way to San Jose?". We've expanded our Smart Sensor line since the last expo, but we planned to reprise the popular demo. There's a video of the 2019 demo on our YouTube channel. Two inherent challenges as a small company are reaching certain target markets like automotive and offering solutions requiring multiple components. So we're working with Angst+Pfister, the European distributor, I mentioned a minute ago, to address the market for our couplers and electric vehicle onboard charging circuitry. Angst+Pfister battery charger platform takes advantage of our couplers best in class isolation voltage, and recently upgraded CMTI. High isolation voltage protects delicate electronics in harsh environments like electric cars. And the high CMTI allows the circuitry to switch faster, which means higher efficiency, less kilowatt hours per 100 miles, lower fuel costs and faster charging.  There's a video with more details on our YouTube channel and Angst+Pfister's channel. But we also posted videos in the past quarters showing the high common mode transient immunity, and best in class isolation voltage of the couplers that are critical to this charging circuitry design. Now I'd like to open the call for questions. Anne?
Operator: [Operator Instructions]. Our first question comes from the line of Jeff Bernstein from Cowen.
Jeffrey Bernstein: Could you talk about maybe book-to-bill or any kind of forward-looking statements you want to give about how business is progressing for you and maybe touch on the trip shortages and whether that's creating any opportunities for you to drop in some pin-compatible kinds of parts?
Daniel Baker: Yes, absolutely. Curt, do you want to cover the outlook? And then I can talk a little bit about the global semiconductor shortage and our threats and opportunities there.
Curt Reynders: Sure. As I mentioned in my prepared remarks, Jeff, the effects of the pandemic on us appear to be subsiding, although there's still an impact and a good deal of uncertainty, the worldwide semiconductor market is strong. Although there've been pockets of weakness and the impact on the pandemic on elective medical devices appears to be recovering. Industrial and factory automation markets are particularly strong based on orders, forecasts, and what we've been hearing, we currently expect a strong year-over-year growth this quarter. The quarter ending June 30th, 2021.
Daniel Baker: And then as far as the global semiconductor shortage, which has of course been in the news, we haven't experienced significant materials shortages. Lead times have lengthened for many raw materials and services but we typically maintain relatively large inventories as a hedge against this sort of thing. And we see the global semiconductor shortages as both a threat and opportunity. So the threat is obvious and we've always carried ample inventories and we're building inventories as we see it being a good opportunity to address the shortages and might have parts available to help customers facing shortages from our competitors.  So as you probably know, we have parts that can drop in directly to replace some of our competitors' semiconductor or legacy type parts. And we're seeing opportunities to reach customers that we might not have been able to reach before. So we see it as an opportunity but folks are also doing a very good job of addressing the threats and working some the long lead time items which presents some challenges.
Jeffrey Bernstein: That's great. I saw where Abbott reported and I guess they're seeing a recovery in their CRM and neuromodulation businesses and had some strength exiting the quarter. Is the neuromodulation piece, is that relevant to you?
Daniel Baker: It very well could be. We look at opportunities to extend the platforms that we have with leaders in things like rhythm management because the platforms are often similar. And those are fast-growing markets with great opportunities to treat new types of diseases or diseases that haven't been previously treated with neurostimulators. So you're right, Abbott reported an increase of 5.8% organic increase in rhythm management sales.  So they said that it was driven by continued recovery from the COVID-19 pandemic, the growth in medical device sales, so that's encouraging. And then we see long-term opportunities in neurostimulators which are a smaller but fast-growing market. And there are treatments being proposed for neurological disorders, psychiatric illnesses and pain management. So it's a great opportunity for us and we have experience in that platform, with those types of platforms, and with having the reliability that those types of implantable device applications have.
Jeffrey Bernstein: Great, and then I wanted to just follow up on the Angst+Pfister relationship and the battery charging system. Do you think that the design cycles on these subsystems may be faster going forward than for the entire cars and just wondering how we should think about that? And then I think you had mentioned the last time, or when we spoke recently, that you had isolators that were compatible with both GaN and silicon carbide MOSFETs and obviously those markets seem to be starting to really explode and just so wondering about any positioning there.
Daniel Baker: Yes, great questions. They're actually related because the battery charging platform uses next generation MOSFETs and our devices, as you correctly point out, are uniquely compatible with those types of ultra high-speed MOSFETs. So the advantage there is, those types of MOSFETs act as switches to switch the power and to turn DC into AC, and they can do that faster than conventional MOSFETs. But that creates high transience, large, and high-speed transience, and so then the problem is that the isolators don't work and our isolators with those high CMTI specifications can withstand this ultra fast switching.  So the faster one can switch these, the less power losses there are because while they're switching, you're losing power. And so when these MOSFET switch very, very fast, one has higher efficiency. And that means, as I mentioned in the prepared remarks, that means more efficient battery charging and a longer range for the vehicle and better equivalent gas mileage. So we see this as important technology and it's being demonstrated in the Angst+Pfister platform with some of these next generation MOSFETs. As far as the design cycle, this is a demonstration. And so it's in the early stages but it's a working design and it's very impressive how efficient it is, how quickly it switches, and we're proud to be a part of it.  So there is a design cycle but, as you know, there's a lot of interest in charging electric vehicles as efficient as possible, reducing the charge time so that you don't have to be parked at a recharging station or a rest stop for a long period of time on a cross-country trip. And we see this as very important technology and a great opportunity. And we talked about the next generation opportunities that we have in the automotive, particularly hybrid electric vehicle, automotive industry. And this is a great example.
Operator: [Operator Instructions]. There are no questions at this time and we have Jeff Bernstein back.
Jeffrey Bernstein: If no one else is going to ask, I'm just wondering, it looks like there's a lot of design activity. There's, there's a lot of new company activity in hearing aids and hearables that we're seeing all the time. A lot of design activities, despite the fact that the FDA hasn't put out their regs yet. Can you give us any indication of what's going on with your business there?
Daniel Baker: Yes. As you know, next-generation hearing aids, so-called hearables, audio devices, are a great opportunity for us. They are estimated to become a $93 billion market by 2026. So I mentioned in the prepared remarks that we've been developing sensors that work with the, that are compatible with the rechargeable batteries used in some of these next generation hearing aids and consumer wearables, rather than the disposable batteries that are generally used in traditional hearing aids.  So those disposable batteries are typically the familiar 1.5 old batteries, but the rechargeable batteries have a higher voltage. So we've been targeting that space. We have design wins in that space, being the hearables market. And we'd like to see the FDA regulations on the possible sale of over the counter hearing aids, but the hearables revolution is proceeding and we're engaged with developers.
Jeffrey Bernstein: Okay, great. And then lastly, on the PUFs business, I think you guys, I know it's a lumpy business. Think you were looking for some recovery there. It does sound like defense orders are a bit lumpy these days with a continuing resolution and new administration, and particularly foreign sales. Some issues about foreign sales, where I think maybe PUFs play an even bigger role. Could you just talk about that segment?
Daniel Baker: Sure. So as you know, that's not huge revenues for us, but it's important and it has been a choppy market. But from a technology standpoint, we've been working on contracts for PUFs and for anti tamper MRAM applications. So those are 2 technologies that we're leaders in. And we see some great near term applications in anti tamper for defense applications. And longer term, these things have commercial applications as well. But we have contracts underway for anti-tamper and MRAM. So these are development programs that are generally funded and they allow us to advance our technology. They allow us to provide high-speed encryption and security for valuable electronic systems, system sensitive data, or electronics. So it remains a significant research area for us, and we're continuing to work on it despite the sort of ups and downs of that market.
Operator: [Operator Instructions]. There are no questions at this time. Speakers, please continue.
Daniel Baker: Well, there are no other questions. We were pleased to report a solid quarter despite the pandemic. And we look forward to speaking with you again in July, to discuss results for the first quarter of fiscal 2022. Thank you all for participating in the call.
Operator: That concludes today's conference call. Thank you all for participating. You may now disconnect.